Operator: Good morning. My name is Joelle, and I will be your conference operator today. [Foreign Language] I will now introduce Mr. Mathieu Brunet, Vice President, Investor Relations and Treasury at Alimentation Couche-Tard. [Foreign Language]
Mathieu Brunet: English will follow. [Foreign Language] Good morning. I would like to welcome everyone to this web conference presenting Alimentation Couche-Tard's financial results for the first quarter of fiscal year 2026. [Operator Instructions] We would like to remind everyone that this webcast presentation will be available on our website for a 90-day period. Also, please remember that some of the issues discussed during this webcast might be forward-looking statements, which are provided by the corporation with its usual caveats. These caveats or risks and uncertainties are outlined in our financial reporting. Therefore, our future results could differ from the information discussed today. Our financial results will be presented by Mr. Alex Miller, President and Chief Executive Officer; and Mr. Filipe Da Silva, Chief Financial Officer. Alex, you may begin your conference.
Alexander Miller: Thank you, Mathieu. Good morning, everyone, and thank you for joining us. We are pleased by our improved performance in the first quarter of the new fiscal year. Across our network, we are reporting positive same-store sales, which includes our U.S. market for the first time in several quarters. This progress is driven by our focus on providing compelling value and ease, especially in our food and beverage offers to win our customers who continue to watch their spending. In our fuel business, we had overall good results, especially in Canada and our larger European markets. While in North America, fuel margins remained aligned with previous quarters. Later in this presentation, I will go into more detail on our convenience and mobility results and value-building initiatives. However, before I do so, I first want to cover the support we provided for our Texas communities in need this quarter as well as our progress growing the network through both acquisitions and new store builds. Let me begin by briefly mentioning the courageous efforts by our Texas store and operations teams during the catastrophic floods in early July. We had only a few stores directly in the path of the storm with several more in the wider vicinity, and we are truly grateful that all Circle K team members are safe and that store damage was limited. Our store teams operated 24/7 during the recovery period, providing free water and coffee to first responders and search and rescue teams as well as launching a statewide register campaign to raise funds for the American Red Cross. Supporting our communities is fundamental to our special culture, and we are committed to having our stores stay open, providing friendly, comforting service and needed goods during the most difficult of days. Our hearts go out to all those grieving the loss of loved ones. Turning to brighter news. Early in this quarter, we closed on the acquisition of nearly 270 stores operating under the GetGo brand from supermarket retailer, Giant Eagle. In August, several members of the ACT leadership team and I had the great pleasure of meeting with over 300 GetGo store and operations team members. During that rally, I shared our excitement in having them as part of our growing family. We focused on our shared values, growth opportunities and the power of combining GetGo strengths in food service and loyalty with Couche-Tard's scale, technology and global reach. Our food and loyalty teams have already spent a considerable amount of time at GetGo locations, deep diving into learnings on how we can become better together. Moving to Europe and our 4 new business units there. We continue to expand Circle K branding and offers to the region. And by the end of the quarter, we had about 65 sites branded Circle K as well as over 30 car wash sites and EV charging dispensers at nearly 185 sites. We are clearly making a positive impact on our customers and communities as we grow in these new countries. In organic growth, after record progress last year, we continue to make notable strides in our 500 new store ambition. We opened 10 new stores in Q1 and are on track to open over 100 in North America for this fiscal year. Our new stores include dozens of high-speed diesel and rural locations. And currently, we have nearly 65 stores under construction and 1,000 sites in our overall real estate development pipeline. Now let me get back to our quarterly results, starting with convenience. Compared to the same quarter last year, same-store merchandise revenues increased by 0.4% in the United States by 3.8% in Europe and other regions and by 4.1% in Canada. As I mentioned earlier, this positive performance of same-store sales in our U.S. market was a first in many quarters, and we continue to see positive momentum building up. In Canada, same-store revenues continued to be driven by strong growth of the alcohol category, while Europe's standout convenience performance was further supported by cigarette sales in the Netherlands and Luxembourg as new legislation and conditions continue to be favorable to our industry. We are also pleased with the recovery that we are seeing in our Hong Kong convenience business, although it is still impacted by a decrease in cigarette units from outbound travel and increased sales taxes. However, normalizing for the impact of cigarette sales, our same-store merchandise revenue in Hong Kong would have increased by 2.7% compared to the same quarter last year, highlighting strong execution and our ability to grow market share. I'll now go into more detail about our convenience offer and the ways in which we are focused on winning our customers by providing compelling value on products and services. Our meal deals in North America continue to deliver consistent quarter-over-quarter gains. At the end of Q1 in North America, we sold 8.6 million food bundles with a weekly average exceeding 750,000 from about 540,000 at the end of FY '25, nearly a 40% increase. We continue to optimize our meal deal offers based on vendor engagement and customer purchasing behavior, and we are actively reviewing opportunities to expand the offering to drive incremental growth. The U.S. roller grill offer was our top performer alongside bakery and breakfast sandwiches. While smaller in scope, the initiative is very popular in Canada, where meal deal sales doubled in Q1 versus the prior quarter. In our win in food strategy, we have been laser-focused on execution and SKU rationalization. We have significantly reduced the number of items freshly prepared in our stores to enhance operational excellence and ease while optimizing our assortment. And as we focus on execution, value and simplicity, we are also dialing up the fun, flavor and innovation with an exciting new collaboration announced just this morning. We are partnering with Emmy award-winning chef and food network personality, Guy Fieri, best known to many from his popular Diner, Drive-In and Dives TV show to launch 11 flavor town inspired menu offerings. The initial rollout this week in hundreds of our locations in 10 states across the Northern U.S. includes unique exclusive items such as Mac & Cheeseburger, Sweet Heat fried chicken and waffle sandwich and candy chaos cookie. In our goal of owning thirst in the U.S., total packaged beverages were up this quarter with energy drinks continuing to lead category strength and profitability. Our differentiation here comes from exclusive launches and integrated campaigns that connect energy to meal deal bundles with over 20% of all sold breakfast bundles, including an energy drink. Cold and frozen dispensed beverages in the U.S. continued their growth trajectory, benefiting from traffic driving promotional campaigns, popular flavor options and improved operational execution. In the adult beverage category, Canada continued to have a strong performance as our market-leading efforts are clearly resonating with our customers. Following changes last year in legislation in Ontario our beer sales again experienced notable growth. In our Central Canada business unit, we more than doubled the sales in the wine category compared to last year. Liquor performance was equally robust. The impressive same-store sales growth in alcohol in Canada more than offset the decline in tobacco in the region, which continues to be impacted by illicit trade and removal of popular products in the other nicotine products category. In the U.S., overall nicotine sales grew slightly versus last year and despite changes in the regulatory landscape, we also had modest growth in other nicotine product sales versus last year, led by modern oral growth innovation. Our cigarette pricing optimization plan launched in June is showing promising results. Looking ahead, we are improving space productivity, deploying industry-leading promotions and expanding loyalty integration with age verified enrollment up quarter-over-quarter. In Europe, we see signs of recovery in the nicotine category, driven by growth in other nicotine products, helping offset decline in combustibles, legislation changes in cigarettes in the Netherlands and favorable competition in Luxembourg have resulted in positive nicotine performance as consumers increasingly shift their spending toward our channel. Turning to our loyalty membership programs. In the U.S., Inner circle enrollments continue to grow, and we're at nearly 11.5 million members at the end of the quarter. We expect to see significant growth in sign-ups as we expand the program this month to Texas, our largest U.S. market, leaning into recent advancements in personalization as well as gamification to drive urgency and excitement with our members. We have seen sustained growth in retention and repeat visits among our members. We also completed the implementation of a new customer data platform that allows us to engage with our customers at our physical sites in real time while they are filling up at the pump or shopping in our stores. Early signs are positive, and we fully expect our digital penetration to grow, driving traffic to both our forecourt and inside our stores. With the extra loyalty program in Europe, we are on schedule to start rolling out the 2.0 loyalty concept this fall to Poland and quickly moved to the other European BUs in the following months. The new concept is designed to incentivize and reward traffic across all products and services at our locations. In our Sweden BU, which has had the new loyalty program for several months, we are seeing a lift in both traffic and increased value as our targeted campaigns and promotional offers have improved conversion and engagement. We are also working to expand our existing communication and personalization capabilities to our 4 new European business units. Moving to our fuel business. Same-store road transportation fuel volumes decreased by 0.9% in the United States and by 1.3% in Europe and other regions, while it increased by 2.2% in Canada. Overall, given market conditions, we see these as good results especially in Canada and our larger European markets as well as in the complex U.S. environment as we continue to work on building value from our fuel supply chain and serving our customers through lower cost sourcing options. Fuel margins in North America also remained aligned with previous quarters. We also continued our efforts to provide compelling value to our customers with our very popular fuel days, including 2 in August, coinciding with the beginning of school and the end of summer travel, which were held at over 4,700 participating U.S. locations. At the first one, we offered $0.40 off per gallon to Inner Circle members only including visitors who signed up instantly to access this exclusive event as a further way to reward our loyal customers. Despite challenging market conditions and volume volatility the European B2B business demonstrated resilience. While overall card volumes slightly underperformed versus prior year, this was effectively offset by strong margin performance. The first quarter of our fiscal year is also materially impacted by summer seasonality that hits fuel B2B sales, and we expect the full year to recover to an overall even mix. Growing nonfuel income remains a strategic priority as B2B transit charging volumes grew steadily, offsetting a significant share of accelerated fuel shrinkage. Bulk fuel volumes remained robust despite excise duty increase in Lithuania and intense price competition in Ireland and Norway. In the U.S., our B2B fuel share is growing as customers continue to see great value in our ability to offer consistency across our company-owned network to serve their business and provide a great experience for their drivers. Additionally, we expanded our B2B customers active in Inner Circle, allowing them to receive personal rewards for commercial fueling. In our B2B Truck segment, we now have over 510 truck accessible sites, including 10 get-go sites. We are growing accessibility in parallel with our commercial diesel growth strategy, implementation of new strategic partners and optimization of existing partnerships. Our European EV charging network now comprises nearly 3,660 charge points, up over 35% year-to-year. Out of these, over 2,970 are Circle K branded charge points and about 150 of those are chargers for trucks in Scandinavia. In Q1, we had more than 1 million charging transactions on Circle K branded transit chargers at our stations in Europe, which is a 50% increase from the same period last year. This increase is driven both by network expansion and improved utilization of our chargers. With that, let me turn it over to Filipe to dive deeper into our financial performance this quarter.
Filipe Da Silva: Thank you, Alex, and good morning, everyone. We are encouraged by our first quarter results, which were partly driven by an enhanced gross profit margin resulting from better food program execution and reduced spoilage. Combined with our disciplined cost control and a sharp focus on efficiency, keeping expense growth below the rate of inflation, we are optimistic about our operational priorities. Building on Alex remarks, we are pleased to report that we brought the negative trend in U.S. same-store sales with results accelerating as the quarter progressed. Food continued to post solid growth and shrink reached its lowest level in 8 quarters. Canada once again delivered strong mid-single-digit results. Europe positive results, while Asia continued to improve with positive performance in same-store sales excluding the impact of declining cigarette volumes and notable gains across several categories. Turning to our total energy assets. Performance continued to strengthen, with synergy delivery progressing ahead of plan. Same-store merchandise revenue grew at a remarkable high single digit, approximately 30% higher than Q4 on a sequential basis. Fuel margins expanded by over 33% year-over-year. These results highlight the strength of our execution and our continued success in integrating complex acquisitions. I will now go over some key figures for the quarter. For more details, please refer to our MD&A available on our website. For the first quarter of fiscal 2026 net earnings attributable to shareholders of the corporation stood at $783 million or $0.82 per share on a diluted basis. Excluding certain items described in more detail in our MD&A, adjusted net earnings attributable to shareholders of the corporation where approximately $757 million or $0.78 per share on an adjusted diluted basis, representing a decrease of 6% compared to the corresponding quarter of last year. The adjusted EBITDA for the first quarter of fiscal 2026 increased by approximately $25 million or 1.6% compared with the corresponding quarter of fiscal 2025, mainly due to the organic growth in our covenants activities and to the contribution from acquisitions, which amounted to approximately $19 million, partly offset by the gains on disposal of valuable assets in the prior year. Now let's review in detail each of our business segments on an FX-adjusted basis. During the first quarter, merchandise and services revenues increased by approximately $158 million or 3.5%, primarily attributable to organic growth, the contribution from acquisitions, which amounted to approximately $59 million and the net impact from new store openings within our network. Merchandise and service gross profit increased by approximately $70 million or 4.4%. This is primarily attributable to organic growth in all regions and to the contribution from acquisitions, which amounted to approximately $90 million. Our merchandise and service gross margin in the United States increased by 0.9% to 34.6%, driven by strong food execution efforts from our food captains at the store level, higher support from vendors on promotional offers and by the favorable shift in product mix. On the food side, margin improvement also reflects a significant reduction in shrink of more than 500 basis points as well as our 2025 rationalization initiatives ensuring that our promotions and products are relevant to our customers. Our merchandise and selling gross margin decreased by 0.9% to 38.9% in Europe and other regions and by 0.9% to 33.9% in Canada, both impacted by changes in product mix with the implementation of new legislation in our various locations. Moving on to the fuel side of our business. Our road transportation fuel gross margin was $0.44 per gallon in the United States, a decrease of $4.13 mainly due to a competitive pressure. Especially in our Southern markets. The impacts alone of Europe and other regions -- sorry, in Europe and other regions, margin averaged USD 0.1141 per liter an increase of $0.0273 due to improved fuel market conditions in certain of our regions. And in Canada, margin averaged CAD 0.1421 per liter, an increase of $0.011. Fuel margin remained healthy throughout our network due to the continued work on the optimization of our supply chain and strong execution in our stores and leveraging our global scale. Turning to SG&A. Normalized expenses for the first quarter of fiscal 2026 rose by 2.4% year-over-year, reflecting disciplined cost management on core operating expenses across all regions. Our teams continue to offset inflationary pressures with store level productivity improvement, allowing us to remain ahead of weighted inflation. A large part of this outcome reflects the ongoing success of our Fit to Serve program which is enabling us to run operations more efficiently while creating the capacity to fund a strategic investment that are driving our next phase of growth. Within Fit to Serve to serve, labor productivity continues to improve. U.S. associated overtime wages remain 3%, marking 20 consecutive months and the ninth straight more below 0.5%. In first quarter, overtime stood at 2.3% versus 3% last year. These results are clear evidence that our investment in handheld devices, optimized labor scheduling and process automation are translating into greater efficiency and improved customer-facing hours. We are also capturing further savings and making good progress through centralization of procurement for goods not for resale, making better use of our global purchasing scale. We also delivered solid progress on shrink and spoilage with total shrink improving by an impressive 13.3% compared to last year. These gains stem from new operating methods stronger processes and controls and more effective use of data analytics. Shrink and spoilage improvements are becoming an important contributor to offsetting inflationary pressures and supporting margins. Turning to strategic investment, we are making deliberate investments in technology and operational tools to position the company for long-term growth. As Alex mentioned earlier, in Q1, we made significant progress on the North American rollout of Relex. The pilot phase will begin in September across 4 business units with broader deployments slated for the first half of calendar 2026. We expect Relex to materially improve in-stock conditions, reduce inventory days on hand and lower spoilage while also bolstering collaboration with our vendor partners. Beyond Relex, we continue to build on the digital foundation we laid over the past year, our labor scheduler and upgraded handheld devices are now embedded in more stores, further streamlining, day-to-day execution and allowing teams to elevate customer experience. Early results from our AI task management pilot remain promising, helping store managers translate data into clear priorities with greater speed. As we move forward, disciplined cost management remains our top priority. With Fit to Serve driving consistent efficiency shrink and spoilage improvement gaining traction and targeted technology investment advancing on schedule, we remain committed on delivering OpEx growth below weighted inflation as we move through fiscal 2026. Turning over to depreciation and amortization. Expenses increased by $79 million or 17.9% year-over-year reflecting investments related to recent acquisitions, including the GetGo assets, which amounted to approximately $6 million, along with equipment upgrades, store remodel programs, new store openings, technology enhancement and EV charger deployments. This initiative represents significant strategic investment made in recent quarters. From a tax perspective, the income tax rate for the first quarter of fiscal 2026 was 23.2% compared with 23.1% for the corresponding quarter of fiscal 2025. The increase is mainly stemming from higher income tax rate due to the gain on regulatory divestiture related to business acquisitions, partly offset by the impact of the different mix in our earnings across a very much duration in which we operate. As of July 20, 2025, we recorded a return on equity at 17.5%, and our return on capital employed stood at 11.8%. During the quarter, our average ratio increased to 2.18. We also had strong balance sheet liquidity with $2.2 billion in cash and an additional $2 billion available through our revolving unsecured operating credit facility. During the quarter, we repaid our Canadian dollar-denominated senior unsecured notes for CAD 700 million. Subsequent to the end of the first quarter, we repurchased 7.9 million common shares for an amount of $405.4 million following the July 21 announcement, authorizing our share buyback program. While the program now -- with the program now in full motion, we view repurchases as an effective way to create sustainable long-term shareholder value while optimizing our balance sheet. Turning to the dividend. The Board of Directors declared yesterday a quarterly dividend of CAD 0.195 per share for the first quarter of fiscal 2026 to shareholders on record as at September 11, 2025 and approved its payment effective September 25, 2025. To wrap up, the first quarter of fiscal 2026 highlights the strength of our business model and the discipline of our teams. We entered this year with solid momentum demonstrating our ability to manage costs effectively while investing the tools and capabilities that support the next phase of growth. We are very encouraged by the top line momentum we've seen across the business. Our initiatives in food, beverages, fuel and enhanced loyalty program are delivering positive results, reinforcing the benefits of our customer-focused strategy. The diversity of our global network and the rigor of operating model continue to provide resilience in an evolving environment. Looking ahead, we remain focused on maintaining firm control of our expenses, deploying capital with purpose and prioritizing investment and enhance our competitive position and create long-term value. This balanced approach positions us to strengthen the fundamentals of our business and delivering consistent results in fiscal 2026. I thank you all for your attention. I will turn the call over again to our President and CEO, Alex Miller.
Alexander Miller: Thank you, Filipe. After many challenging quarters in retail, we are pleased to see progress in our convenience business as our customers respond to our value-creating initiatives. We are focused on getting back to easy at our location. This includes having our forecourts and inside store operations ready for our customers, simplifying execution of our food program and increasing personalization and savings in our loyalty programs. While challenging geopolitical conditions persist across our network, we are confident that our global scale, diversified business and commitment to winning our customers will move us forward in our vision to become the preferred destination for convenience and mobility. On that note, let's turn it over to the operator to answer analyst questions.
Operator: [Operator Instructions] Your first question comes from Chris Li with Desjardins.
Christopher Li: I wanted to ask, Alex, in the U.S. in the quarter, did you see an improvement even though U.S. merchandise in store sales through the quarter. If so, what drove the improvement? And did the momentum continuing? Is it continuing into Q2?
Alexander Miller: Yes. Thanks for the question, Chris. We did period 3 or the final month of the quarter was the strongest top line or a month or period we have had in well over 2 years and that has continued into Q2 through P4 and we're now into P5. We've had 10 straight weeks of positive same-store sales in the United States and Canada. I think what's driving that is our kind of laser focus on our core initiatives, specifically around food. We grew foodservice 4.5% in the quarter, we grew food gross margin by 500 basis points -- just -- I talked in our -- in my comments about our food bundles and the continued trajectory of that and our ability to show and highlight value for our customers that they're really responding to. Our digital platforms are continuing to scale with a great consumer response. We grew enrollment in Inner Circle in the U.S., 11% quarter-on-quarter. We continue to see increased visits and heightened baskets from these customers. Our customers within Inner Circle, we grew merch sales by 4%, and we grew fuel gallons by 3% in the quarter. So for us, the underlying environment, we haven't seen change much. We continue to see lower income, lower middle income consumers stretched, strained, really controlling their spending. That's really across all of our geographies. we fundamentally believe we're widening the gap to our competition and taking share. We took -- we grew cigarette sales 3% against the industry in sales in the quarter, as an example.
Christopher Li: Perfect. Maybe just a quick follow-up on that. Just in terms of the competitive environment, we're seeing some increased competition from some of the large QSR peers. How is that sort of impacting your business right now? And I think you also made some reference about increased fuel competition in the South, if you can sort of elaborate on what driving that? That would be helpful.
Alexander Miller: Thanks, Chris. I think as we stated, we're pleased with our fuel performance in the quarter. We think it was solid. We beat OPUS in the U.S. by $0.045. That fits pretty well into the range of our outperformance against the industry, and we continue to invest in what we believe is our world-class supply and logistics piece. I think if you look for us, we're -- our portfolio is a little challenged right now and that we have heavy presence in southern border states, specifically Florida, Texas and Arizona. We have over 2,000 sites in those 3 states. Fuel transactions are down kind of mid- to high single digits in those 3 states. So when you consider our performance against that. Again, I think it highlights how we're taking share, and that's continued into P3 and P4. So we feel good. We feel like we're widening the gap. We believe our investments in digital are working, are gaining traffic, gaining sales, pushing fuel volume and fundamentally on fuel margin in the U.S. costs continue to increase. Our balance sheet and our profit and loss statement is as strong as anyone's. And those cost increases and that need for fuel margin exists and we're going to price to the customer and our value proposition, that never changes, but we believe fuel margin will be there.
Filipe Da Silva: And on the first part of your question, Chris, on the QSR competition and I think the result that we are showing on Q1 and as mentioned by Alex, the momentum that we see also in Q2. We believe that our food program is really resonating to our customers when you see the evolution of the value meals and the quantity of that we have been able to sell. And you have seen also the GP profile. So we are able to do that, executing better, delivering higher food gross profit. So yes, very confident that we are in the right direction and that we're winning in our industry, actually.
Operator: Your next question comes from Irene Nattel with RBC Capital Markets.
Irene Nattel: Just continuing with questions around the inside store performance. Certainly great to see the value meal progression. Can you talk about some of the other initiatives that you have in place, however, to provide value to consumers. With aside for the meal bundles, whether it's private label or other types of vendor partnerships.
Alexander Miller: Yes. Thanks, Irene. I think I don't want to dismiss fuel bundles and the resonance that's happening with our customers and the breadth of our beverage offers that we are able to offer customers and our vendor partners that are leaning into those offers, specifically related to energy, which is the fastest-growing category in our stores today. I think to your question, private label remains a big focus for us. We're in a reset mode kind of similar to what we did in food where we kind of reset kind of rationalize SKUs and then that enabled us to grow I would say we're in that stage in private label. And we will continue to focus on private label and grow private label I think we also -- as you look at cigarettes and nicotine and the promotions that we are able to run with our vendors, we are able to offer meaningful value across those things. Just here in September, we have a promotion with white nicotine where if you buy a tobacco product from us with a couple of exceptions, you can get a free can of ZYN, which is a white nicotine product in the U.S. that is a compelling offer. So through those things, Irene, we are increasingly finding ways to promote value and leverage our scale and work with our vendor partners. And I think our digital platforms, our partners are responding to. It's how they want to talk to our joint consumers, and they are leaning in with us around promotions really across our box to target specific customers and specific segments with value offers.
Irene Nattel: That's really helpful. It would also seem that if we take a step back and look at the objectives of your CPG partners, now would be a very good time to continue to partner because they're really focused on driving volume as well. So as we look ahead through the year, presumably you have a series of these types of partnerships lined up to continue to support from a margin perspective?
Alexander Miller: Yes. I think -- Thanks, Irene, again. Absolutely, our relationships and our partnerships with our vendors are extremely strong. I think we're aligned in what we're looking to achieve. And they're looking to grow units and grow sales as well. I think I've talked in previous quarters about our use of data, our ability to gather data. I just referenced our new customer data platform. That data is extraordinarily valuable to us and it allows us to direct promotions at specific customers and promotions that resonate with consumers. That's part of the 90 basis point improvement you see in our U.S. margin merch performance. So yes, our vendors are leaning in with us. They love our digital platforms. They love our scale. They love our operational focus and our ability to execute. When we say we're going to do something, we do it. And we are leaning in with them both really across all of our geographies. So -- and tying that into our food focus and our food bundles really resonates specifically with our vendor partners, our beverage vendor partners.
Operator: Your next question comes from Michael Van Aelst with TD Cowen.
Michael Van Aelst: Can you just start off, please by elaborating a little bit about the pressures you're seeing in the southern border states and what the key drivers of those demand pressures are?
Alexander Miller: I'm not going to hypothesize on what's driving that. We're just seeing reduced traffic specifically on our -- in our southern border states. We're seeing -- it's greater in fuel than it is in merch, but we're seeing reduced traffic in fuel and in merch, and our industry ride data suggest us that we are not alone in that reduced traffic. But for us, it's all about taking share. It's about winning the customer, that focus never changes for us. So -- and we believe this to be temporary. We're very pleased with our large positions in those 3 states. And those are -- have obviously been large growth states over the previous years. We believe that trend will ultimately continue. And so we're just focused on our customers, our execution and widening the gap.
Michael Van Aelst: All right. And so turning to the Canadian same-store sales growth. You talked about it being lifted by the alcohol sales in Ontario, but I guess now that we're coming up on lapping the new regulations, I'm wondering if you're expecting to see the momentum continue, are you seeing the basket steadily increase as people add more items when they come in for that alcohol and any other observations you might see to give us a feeling that or give us some kind of comfort that the Canadian same-store sales can continue to grow?
Alexander Miller: Yes. We do lap that actually this month of the launch of alcohol in Central Canada in Ontario. We also lapped the removal of Zonnic or white nicotine from our stores in Canada across Canada, which has been a really fairly significant headwind. I think I commented a few quarters ago of just the execution of our Central Canadian business and how we were so much on our front foot in executing once alcohol became available. We were first out of the gate. We captured significant share and we continue to capture share. You heard me reference that we grew wine by greater than 100% in liquor by a similar amount. So we've continued to grow those categories and to increase the basket related to those categories. I think our teams in Central Canada are still -- they're still looking at data, still understanding adjacencies and what mix to put in with these alcohol sales, but we're continuing to drive basket. And we remain very positive on continued growth, traffic growth and sales within our new alcohol categories in Ontario.
Operator: Your next question comes from Vishal Shreedhar with National Bank.
Vishal Shreedhar: I was just hoping to get your perspective on the acquisition backdrop and how you see that evolving in terms of prices? And also, types of files that you're interested in, be it adjacent to retail opportunities such as travel retailer, QSR, Dollar store, et cetera.
Filipe Da Silva: Thanks for the question. Yes, as we mentioned in the previous call with this challenging environment, very definitely actors players that are struggling. And we have seen this pipeline quite rich, actually, to be honest, across the geography we are. And as we mentioned, we'll continue to be one of the players that will be consolidating this market. Priority for us is to continue to consolidate, of course, in North America. That's our priority #1. We are very pleased also at what we see in Europe and our ability to integrate, and we are very pleased by TotalEnergies. And we believe that here, we can continue to expand in Europe if the right opportunity. So that would -- I would say that the two main priorities for us. And we know that there with our financial playbook, we can have very strong returns. So that's definitely where we focus our priorities and to your point on the adjacent retail. I think for us today, the priority is it's covenant. It's where we are with that. We have been acquiring a lot there. And we see that there's opportunity this again, this challenging environment, it's an opportunity actually for us. We have a strong balance sheet. We see much better momentum for us. So we're very encouraged by that. And I think that's, yes, any opportunity that will come, we will be there.
Vishal Shreedhar: Okay. Sorry. So just to reiterate, the management is focused on adjacent retail opportunities in addition to the traditional C-store opportunities. That's correct characterization?
Filipe Da Silva: Yes. But I think our first priority, it's convenience. Let's be clear. I just said, what we have said is that, that's something that we could think about. But today, given the momentum, again, the fact that it's a very changing environment. We believe that there is a good opportunity to go actually to consolidate market share and consolidate particularly in the North American market. So that's our primary focus.
Vishal Shreedhar: Okay. And with respect to SG&A trends on the organic basis, do you expect that rate of SG&A growth to maintain? I'm talking about your adjusted organic SG&A growth.
Filipe Da Silva: Yes. Definitely, we -- and here, we are very pleased by the teams are doing an amazing job here because as we mentioned a few times now, we are investing on the technology. We know that we need to deliver a much better digital experience to our customers, a more digital experience to our associated stores, and employees in stores. And so all the investment, we are able to more than offset it through the Fit to Serve program with the discipline that Couche-Tard has built this successful story over the last 4 decades. And we are confident that we'll be able to continue to deliver that on looking forward and for this year. A lot of initiatives going on at store level, at a global functional level, just to making sure that we can continue to deliver this performance in OpEx.
Operator: Your next question comes from Mark Petrie with CIBC.
Mark Petrie: Alex, you've highlighted a few different pressures that the industry is under. And I guess to summarize briefly, maybe it's fair to say that cost inflation continues to exceed sales growth overall, at least for the industry. In the past, you've highlighted dynamics on industry fuel margins where they're supported by challenged profits and the lowest quartile operators. At the same time, OPUS margins have been in the 30s, I guess, the last 3 quarters or so. So I'm just curious to hear your latest thinking on these dynamics. Do you think those dynamics are holding as strong as they have historically? And how do you think the profitability in the lowest quartile operators has changed over the last year?
Alexander Miller: Yes. I think Obviously, I think we've seen other retailers kind of suggest some increased competition as well as we saw in some geographies this period. Absolutely believe that, that will be transitory. Again, the cost and the investment levels, the regulatory cost, those are real. Those are not changing. And again, our balance sheet and our financial strength, we believe, positions us very well, and we believe that, that fuel margin needs to be there. I think this environment or this temporary, certainly, these are not bad fuel margins, but let's call it a plateauing of fuel margins for a couple of 3 quarters without questions, put these single operators under greater pressure. As you look at industry data, and we believe there's a widening of the gap of the top performers and the bottom performers. We are pleased with our widening of the gap against these industry metrics that we stay very focused on day on day, week on week. So we continue to believe that the pressure on these individual operators and these smaller retailers is intensified. And I think as Filipe referenced, we believe there is a place for us to continue to consolidate these markets. We are -- we remain very focused on North America and are increasingly confident in our capabilities in Europe and very pleased with our Total acquisition and the progress of those 4 BUs that are well ahead of our investment model. So we believe that will ultimately give us opportunity and that fuel margin will be there.
Mark Petrie: Okay. I appreciate that comment. Just a follow-up. I know you've touched on it a couple of times, but I just want to be clear make sure I understand. With regards to the European fuel margins, can you just walk through the dynamics that led to the strong result this quarter? And then how should we think about that number sort of going forward more like Q1 or more like sort of previous quarters?
Alexander Miller: I think the day I can predict fuel margins is a day, I'll probably never find to be highly candid with you. I think I'll just focus on the strength of our European business. If you look not just at this quarter, if you look at many quarters in a row, we just continue to perform. We are taking market share in merch. We are growing food. We are growing our loyalty platforms. We referenced -- I referenced in my comments that we had 1 million charging transactions this quarter and that it grew 50%. What I didn't reference is that consumers rate are out really top of the line. We have passed Tesla in Sweden as an example. Our utilization of chargers per charger is well ahead of the industry standard, those charge customers are -- they come into our stores at a rate of 1/3x greater than our traditional food customers. The basket is higher. They buy more car washes from us. Our strength in our world-class EV team is driving merch traffic in and it's also driving our liquid fuel demand. We have positive same-store volume liquid fuel in 2 of the 3 of our Scandinavian countries fiscal year-to-date. That's a pretty amazing number. So we are taking share. We are across merch and across fuel. We are delivering EBITDA growth, and while we're realizing these fuel margins, we are handily outperforming the industry in fuel volume. I think that bodes well for us as we go forward in Europe. And I really just could not be more complementary of our teams and the strength of our teams over in Europe.
Filipe Da Silva: Just -- sorry, just to complement, Alex, on your question on the CPL and I think something that you should expect at least for the next couple of following quarters is the renegotiation that we did in Germany on our fuel contract. And that's something that is helping us and is driving a better margin there. And one thing also that it's definitely making a difference is our trading activity, our supply chain integrity supply chain in Europe is making a difference there as well. So of course, I agree with Alex. That's definitely a challenge to forecast fuel margin. But yes, you should see some good momentum in Europe for the next coming at least 2, 3 quarters.
Mark Petrie: You predicted my follow-up question, Filipe well done, and thanks to both of you for all your comment.
Operator: [Operator Instructions] Your next question comes from John Zamparo with Scotiabank.
John Zamparo: I'd like to better understand the dynamics around the meal deals, both on traffic and same-store sales and I guess, margins as well. You're posting, I think you'd said around a 40% increase in meal deals in the U.S., you've made progress on the comp. It sounds like you're aspiring for even higher. So is it that customers are trading off from other items? Or is the price investment meaningful enough that it offsets the additional volume? I just would like to better understand this. And is this ultimately going to be the biggest driver for the U.S. comp moving forward?
Alexander Miller: Yes. I think for food for us, we're pleased with our progress. We believe we have an exceptionally long runway. Our food conversion in the United States is about 11% now. Our best business units in the U.S. are 20% or greater than 20%. We crossed over 24% food conversion in Europe this quarter. That's the highest it's ever been, consumers are looking for value, full stop. That's just apparent as you read retail results and listen to consumers and watch their behavior with the meal bundles, we have found that needs to really show value in our channel. We are not compromising margin. As I referenced, our vendor partners are engaged. They are supporting us they are coming with offers with significant support in bundling their products with our food products and we will continue to grow, expand those offers. And we will fundamentally believe it will be margin accretive. Again, we grew meal bundles by 40% in the quarter, and we improved food margin by almost 500 basis points in the quarter. So I think that shows or kind of underpins what I'm saying that as we grow food bundles, we can still support and grow food margin.
Operator: Your next question comes from Martin Landry with Stifel.
Martin Landry: You announced a new collaboration with Guy Fieri this morning. I would like to know what the success looks like for that collaboration? Is that collaboration temporary? And then why did you choose those 10 states or those states locations where you have a lower food penetration? Just a little bit of color as to that new collaboration would be helpful.
Alexander Miller: Yes. Thanks for the question. I think we are just super excited to be able to partner with Guy Fieri and access his energy and his social media presence and his resonance with consumers. And we feel like we're ready. We paused a little bit. I think as I've talked to you, we needed to reset, we needed to come back. We needed to get our operational execution to a level that we felt like, hey, when we launched this differentiating program, we're ready. We feel we've reached that time. It is a unique relationship. It is an exclusive relationship. It is not a short-term relationship. And we fully plan to launch it across our U.S. portfolio. We are starting in those 10 states because that is our Northern Tier business unit. Our Northern Tier business unit is historically from holiday that have over a 20-year food history. They have over 20% food conversion or food penetration. They have a deeply entrenched culture in food -- and I can tell you, Jony and her team are pumped to roll this partnership out with Guy Fieri and our 11 flavor town products. So we're excited. We think we're ready to gain additional awareness of our food programs and what we can bring. We believe this will do this and give us some additional energy and recognition in the food space.
Operator: Your next question comes from Luke Hannan with Canaccord.
Luke Hannan: Alex, I wanted to follow up on a comment you had earlier on the cigarette pricing optimization that you're doing. You mentioned it launched in June and thus far is showing promising results. Can you just share, I mean, what exactly does that program entail? And how widespread is it thus far? And what exactly do you mean by promising results?
Alexander Miller: Yes. I think I know I'm like a broken record talking with you guys about data and the use of data and bringing in data but this is all about utilizing our data to understand where our customers are and how they're responding to our price points and our offers against our competition and comparing market-by-market, state-by-state against our competitors, against our market share data. And we are making adjustments to where we price premium against value against the different tiers within that, and we are using our data to drive that. I referenced in my previous comments that we outperformed the industry and sales in the United States by 3% in the quarter. That's good. We believe we can be better than that. It is across our business units in North America. And candidly, we have 4 business units that we still see opportunity in what -- in how we're positioning those things. And I can tell you our operators and our merch teams are actively pursuing those opportunities in that positioning as we speak. So excited. Again, our scale and our ability to capture data and use that data. We are seeing it in our results. We are seeing it in our differentiation, and we're excited, and we believe that will grow the gap that we perform against our competitors.
Operator: Your next question comes from Corey Tarlowe with Jefferies.
Corey Tarlowe: Follow-up for Filipe. So just on the broader question, Alex, why not in today's environment, lean in more into value when it seems to be working very well and you're clearly gaining market share. So -- how do you think about the ability to -- and the balance between leaning in more into value and protecting margin.
Alexander Miller: I think you will see us lean into value everywhere we see the opportunity to do it. We believe we fundamentally found something in food that enables us to show real value that's resonating with consumers. And I want to be clear, we're doing that not just in North America. We're doing it in Europe as well. I was in Norway last week, Filipe and I both were. I saw us leaning into food value and winning, growing transactions. I talked earlier with Irene about private label. We will continue to push on private label, grow those teams, grow that offering. So I think your challenge is a great one to us as an organization. I can tell you, we will lean into value everywhere we see the opportunity to do that in a compelling way that resonates with the customer.
Corey Tarlowe: Okay. Great. And then, Filipe, just on cost management and efficiency. What are some of the cost control measures or OpEx efficiencies that you see helping to benefit the business throughout the remainder of this fiscal year? And what might be the potential P&L impact?
Filipe Da Silva: Thanks for the question, Corey. So I would say, first, it's leveraging our scale on the GNFR procurement. We're just early stage centralizing the purchase of store supplies or negotiating of consulting fees, payment, everything CapEx also looking at differently outsourcing and having team that are just being a bit more strategic on where we buy our stuff. So there is a massive opportunity for us, and we are just at the beginning of the journey. The second, I would say, focus for us is everything related to the back office. So you know that we have already built quite a strong shared service center, but we continue there, and we see some more opportunities leveraging the partnership that we have built with some of the -- I would say, specialists on this area, we believe that we can. We can continue to optimize that to centralize to offshore activities, that's something also that we see. And the third component is, of course, labor in stores and continue to optimize what we can do in stores there. So helping our employees in stores to be much more efficient to focus on the customer-facing activities and trying to remove all the administrative stuff. So there is still a lot to do there. So very, very confident about the pipeline. And as we mentioned many times, we have this $800 million objective over 5 years, really believe that we'll exceed this target. We are encouraged by what the teams are accomplishing and the pipeline that we see.
Operator: Your next question comes from Etienne Ricard with BMO Capital Markets. I'm sorry. Your next question comes from Mark Carden with UBS.
Mark Carden: So you guys mentioned that you're in a bit of a reset phase in private label. Could you provide some additional color on any particular categories that focus on this front? Have you seen any short-term headwinds to penetration? And then just when are you thinking about with respect to the time line to when you could see this becoming a more consistent contributor to your margin.
Alexander Miller: Yes, thanks for the question. I've talked with you in previous quarters about supply chain and supply chain matters for private label. So we'll open our 3 new warehouses next 6 months, then we'll go to Phase 2. Supply chain, our investments in supply chain will further underpin and enable our private label piece. I think we need to reset on what SKUs, placement of those SKUs, procurement of those SKUs, and we've done that now. So within our plans, it was that resetting of those areas. And specifically, this is in the United States. I think we grew private label what, 8%, 9% in Europe this quarter. Canada continues to look good and we're growing private label. So when I talk about the reset, I'm really talking about the United States. I think we don't -- we will invest in private label and identify private label SKUs in any category that we see across our portfolio where we can provide a compelling consumers and the consumers respond to that, and we can realize a cost of goods basis that makes sense for us. At the end of the day, private label will be margin accretive. It will not be detrimental to our margins. We have never experienced that. So I think the combination of investment in our supply chain, the resetting of our private label portfolio. And I think over the next, let's call it, 24 months, you will begin to see that penetration heighten. And it is an area we are talking about investing further in really with human resource across the group.
Operator: There are no further questions at this time. I will now turn the call over to management for closing remarks.
Mathieu Brunet: Thank you, Alex, and Filipe. That covers all the questions for today's call. Thank you all for joining. We wish you a great day and look forward to discussing our second quarter 2026 results in November. [Foreign Language]
Filipe Da Silva: Thank you, everyone.
Alexander Miller: Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.